Operator: Good morning, ladies and gentleman, and welcome to the Heritage-Crystal Clean Incorporated Third Quarter 2022 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] Some of the comments we will make today are forward-looking. Generally, the words: aim, anticipate, believe, could, estimate, expect, intend, may, plan, project, should, will be, will continue, will likely result, would and similar expressions identify forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those anticipated by these forward-looking statements. These risks and uncertainties include a variety of factors, some of which are beyond our control. These forward-looking statements speak as of today, and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. Please refer to our SEC filings, including our Annual Report on Form 10-K, as well as our earnings release posted on our website for a more detailed description of the risk factors that may affect our results. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our website. Also, please note that certain financial measures we may use on this call, such as earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA are non-GAAP measures. Please see our website for reconciliations of these non-GAAP financial measures to GAAP. For more information about our company, please visit our website at www.crystal-clean.com. With us today from the company are the President and Chief Executive Officer, Mr. Brian Recatto; and the Chief Financial Officer, Mr. Mark DeVita. At this time, I would like to turn the call over to Brian Recatto. Please go ahead, sir.
Brian Recatto: Thank you, Brent. Good morning, everyone, and thank you for joining us today. On behalf of the entire Crystal-Clean team, we are very happy to report our record third quarter earnings yesterday driven by outstanding performances in both business segments. On a total company basis, we performed well during the quarter, exceeding our budget from a revenue, net income and EBITDA standpoint. Mark will provide additional detail, but total third quarter revenue exceeded expectations at $172.2 million, which helped produce a record adjusted EBITDA of $43.5 million, which was up 37% compared to EBITDA in the third quarter of 2021. Now, I'd like to discuss the results in both of our reporting segments. Let's start with the Oil Business segment. During the third quarter of fiscal 2022, Oil Business revenue was a record high for a 12-week quarter at $65.5 million, an increase of $14.7 million, or 28.9% compared to $30.8 million in the third quarter of fiscal 2021. The increase in revenue was mainly due to an increase in our base oil netback of $1.57 per gallon compared to the third quarter of 2021. Oil Business segment operating margin decreased slightly to 40.6% in the third quarter of fiscal 2022, compared to a record high of 42.8% in the third quarter of fiscal 2021. The lower operating margin compared to the third quarter of 2021 was mainly due to an increase in transportation-related expenses, increased downtime at the re-refinery and other inflationary pressures across the segment, which offset an improvement in the spread between the netback on our base oil sales, and the price paid or charged to our customers for the removal of their used oil. From an operations perspective, we incurred more downtime at the re-refinery during the quarter compared to the third quarter of last year. This led to a decrease of production of approximately 2 million gallons of base oil compared to the third quarter last year. Despite some challenges, we continue to operate the re-refinery in a safe manner as we extended our record of having no recordable entries during the past seven consecutive years. Let's now move on to the Environmental Services segment. As you are aware, we closed the acquisition of Patriot Environmental in the second half of the third quarter. We're very enthusiastic about the employees who we've added for Patriot and we're excited to welcome them to Crystal-Clean team. We continue to have high hopes for the performance of the legacy Patriot Business and platform that provides us to grow our industrial and field services business in the Central and Eastern U.S. The results for the Patriot Business are included in our Environmental Services segment. In the Environmental Services segment, revenue for the third quarter of 2022 was $106.7 million, compared to $72.3 million for the same quarter of 2021. This represents a record high compared to all previous quarters, and an increase of $34.3 million or 47.5%. The increase in revenue was due to the increase in demand for our services compared to the prior year quarter and by revenue from acquisitions made during the second half of 2021, as well as the recent Patriot acquisition. Excluding the Patriot acquisition, third quarter revenue grew by 35.3%, as we experienced revenue increases across all service lines in the segment when compared to the third quarter of 2021. Environmental Services profit before corporate selling, general and administrative expenses was $24.8 million or 23.2% of revenue, compared to $17.3 million or 23.9% of revenue in the year-ago quarter. The decline in operating margin percentage mainly driven by higher transportation costs caused by extraordinarily high inflation and increased rental costs primarily for rolling stock. The end disposal markets remain in an oversupplied position and we expect the condition will not improve until mid. Now I would like to look forward to discuss our outlook for the future. In our Environmental Services segment, the third quarter produced a great result from a revenue perspective. We generated double-digit organic revenue growth on a year-over-year basis for the sixth straight quarter. Assuming the overall U.S. economy remains steady, we expect to continue to achieve double-digit revenue growth during the fourth quarter and the legacy crystal-clean business. As we move deeper into fiscal 2023, barring a recession, we expect organic revenue growth to moderate our legacy crystal-clean business and eventually get back to high-single digits. From an operating margin standpoint, we continue to deal with inflationary pressure for many inputs to our service compared to the prior years such as third-party waste disposal, transportation, fuel, containers and other items. Given that we do not own and operate disposal assets in certain parts of the country or for certain types of waste, we continue to experience increased costs and surcharges for many of our disposal vendors. We are working hard to counteract the negative impacts of these items by internalizing more industrial non-hazardous waste processing. While fuel cost have come off their recent highs from earlier in the year, cost remained stubbornly elevated. We're continuing to monitor the impact inflationary factors we're having on our margins. And at this point, we expect our operating margin during the fourth quarter to be similar to our third quarter performance. We still believe we can get our operating margin in the Environmental Services segment back up in the 27% level, once inflationary and supply chain conditions subside. From an Oil Business segment perspective, we have already seen base oil prices softened during the early part of the fourth quarter. Specifically, spot prices for the type of Group two base oil we sell are down almost $0.60 per gallon compared to the average during the third quarter. This is partially the result of softening demand. As we get closer to the end of the fourth quarter, in the first quarter of 2023, we expect base oil prices to stay lower compared to the past couple of quarters. On the used oil feedstock side of the business, we have very recently begun to see a slight decline in pay for oil with a dip in the price of crude oil. However, given the recent increase in the price of crude and the typical lag between when the price of crude oil changes and when we're able to decrease our pay for oil, we're expecting pay for oil to be relatively flat during Q4. From a longer-term perspective, we expect to continue to acquire used oil feedstock at a much lower cost relative to crude oil price as we did for the first three quarters of this year compared to before the IMO 2020 regulation went into effect. We also expect our operating costs to our re-refinery to remain elevated on a year-over-year basis due to the higher cost of items such as natural gas, hydrogen, nitrogen and caustic materials. As planned, we're having our longest shut-down of the year along with another shorter planned outage during Q4. These shutdowns should total approximately 15 days. From a profitability perspective due to all the factors previously mentioned, we expect our Oil Business operating margin to be in a 20% range for the fourth quarter. The outlook I just provided assumes the economy does not fall under recession. Should these assumptions, not hold true, this could negatively impact our outlook. Before I turn the call over to Mark, I would like to provide an update on our PFAS strategy. We recently finalized an exclusivity agreement with two of our partners to utilize their phone fractionation technology to remove and concentrate PFAS from high-volume leaching, groundwater streams. The concentrated PFAS waste can then be processed by Battelle's and Annihilator unit, which uses heat and pressure to destroy the PFAS in the concentrated waste stream. The combination of these technologies will allow us to provide a turnkey economically viable solution to treat large volume PFAS contaminated wastewater streams. This foam fractionation technology has already been used successfully in Europe. We're currently operating the unit in our Michigan wastewater plant to successfully treat landfill leachate. With that, Mark will take us through our third quarter financial results.
Mark DeVita: Thanks, Brian. I want to wish everyone a great morning. It's a pleasure to be with you today. In the third quarter of 2022, we generated $172.2 million in revenue compared to $123.2 million in the same quarter of 2021, an increase of $49 million or 39.8%. The increase in revenue was mainly driven by higher base oil selling prices, higher demand for our products and services and to a lesser extent by revenue from acquisitions. Net income was a record high $23.2 million or $0.98 per diluted share for the third quarter of 2022. This compares to net income of $18.5 million or $0.79 per diluted share in the year-earlier quarter, which represents a diluted earnings per share increase of 24.1% compared to the third quarter of 2021. I'd like to begin our segment results discussion with our Oil Business segment. Oil Business segment third quarter revenues of $65.5 million were a record high for a 12-week quarter and represent an increase of $14.7 million or 28.9% compared to the third quarter of fiscal 2021. As Brian mentioned, the increase in netback, which is our sales price net of freight charges was the catalyst for higher revenue. On a sequential basis, our base oil netback increased by $0.68 per gallon compared to the second quarter of 2022. The 10.3 million gallons of base oil sold during the quarter represents a decrease of approximately 0.9 million gallons compared to the third quarter of 2021. The decrease in sales was primarily due to lower base oil production in the third quarter compared to the third quarter of last year. From a used oil collection perspective, our rug truck loading efficiency increased by 2.2% in the third quarter of 2022, compared to the third quarter of 2021. This increase was achieved in spite of the fact that we increased the number of used oil collection sales and service representatives by approximately 11% during the quarter compared to the third quarter of 2021. The increased efficiency combined with more reps led to a 14% increase in internally collected used oil volume during the quarter compared to the third quarter last year. The increase between our net pay for oil during the third quarter of fiscal 2021 compared to the third quarter of fiscal 2022 was $0.30 per gallon. Sequentially, our pay for oil increased by $0.09 per gallon from the second quarter of 2022 to the third quarter of 2022. The cost of third-party used oil feedstock also increased during the quarter by $0.35 per gallon compared to the third quarter of 2021 on relatively flat volume. However, on a sequential basis, the cost of third-party feedstock decreased by $0.06 per gallon. This decrease was made possible by the increase in internal used oil collection volume I mentioned earlier. As previously mentioned, our re-refinery experienced more downtime than expected during this past quarter, and as a result, produced base oil at a rate of 89% of our nameplate capacity, or 10.5 million gallons. Oil production volume along with higher hydrogen, natural gas and catalyst costs led to an increase in our operating costs at re-refinery of approximately 51% on a per gallon basis compared to the third quarter of last year. From a profitability standpoint, Oil Business segment profit before corporate SG&A expense increased by $4.8 million, or 22.2% to $26.6 million, which represents an all-time record. The operating margin was 40.6% in the third quarter of 2022, compared to 42.8% in the third quarter of fiscal 2021. The decrease in operating margin percentage was mainly due to higher transportation, maintenance and labor expenses as well as the higher operating costs at the re-refinery I mentioned earlier. These higher costs offset an improvement in the spread between our base oil netback and our average pay for oil. This spread increased by $1.26 per gallon compared to the third quarter of 2021 and result by $0.59 per gallon compared to the second quarter of 2022. Now let's discuss the Environmental Services segment results. Environmental Services segment reported revenue of $106.7 million, an increase of $34.3 million or 47.5% compared to the year-ago quarter. The 47.5% increase in revenue was mainly due to an increase in demand for our services compared to the prior year quarter and by revenue from acquisitions. Revenue from acquisitions closed during the second half of fiscal 2021 accounted for 5.5% of the year-over-year growth during the third quarter of fiscal 2022. Revenue from the Patriot acquisition during the third quarter was $13 million, which represents 12.2% of the revenue growth for this segment compared to the third quarter of fiscal 2021. Overall, organic revenue from the third quarter last year to the third quarter this year increased by 29.8%. The revenue increased from organic growth was driven by improvement in both price and volume in all service lines. Environmental Services profit before corporate selling, general and administrative expenses was a 12-week quarter record of $24.8 million or 23.2% of revenue. In addition to the fact that Brian mentioned earlier, operating margin percentage was also negatively impacted by higher costs for rolling stock repairs. Our overall corporate SG&A expense of $18.6 million represents an increase of $4.2 million or 29.4% compared to the year-ago quarter, driven by an increase in salaries and benefits as well as amortization of intangibles from acquisitions made during the second half of 2021. As a percentage of revenue, corporate SG&A expense during the third quarter decreased to 10.8% compared to 11.7% during the third quarter last year. EBITDA of $41.3 million was an all-time record and up 34.9% compared to $30.6 million in the year-ago quarter. Our adjusted EBITDA of $43.5 million in the third quarter was also an all-time record. The company's effective income tax rate for the third quarter of fiscal 2022 was 27.8% compared to 25.1% in the third quarter of fiscal 2021. The rate increase is principally attributable to the increased impact of certain non-deductible, non-recurring expenses. Looking at the balance sheet, we had a net decrease of $48 million in cash during the third quarter of fiscal 2022, which resulted in a balance of $25.7 million of cash on hand at the end of the quarter. Main driver of the decrease is the funding of the Patriot acquisition. Our primary sources of liquidity for the quarter were cash flows from operations and funds available to borrow under our revolving bank credit facility. We initially borrowed a $115 million on our revolving loan to fund the Patriot acquisition. And as at the end of the third quarter, we had $100 million outstanding under this loan. As of today, we have $90 million outstanding on our revolving loan. During the third quarter, we generated $19.2 million in cash flow from operations and $11 million of free cash flow. And we work to integrate Patriot into our business. At this point, we are on track to realize the cost synergies we projected and we previously spoke about. As we continue to pay down our debt, we are also looking for additional acquisition opportunities to drive further inorganic growth for the future. From a financial reporting perspective, I want to inform our investors and analysts that as of January 1, 2023, we will begin reporting our financial results on a calendar quarter basis. To recap, we are excited with the strong top line growth we're generating in our Environmental Services segment and we're pleased, but not yet satisfied with the operating margin we were able to generate in the ES segment during the third quarter. While inflationary challenges are also impacting the Oil Business segment, we remain focused on spread management and improving the operating efficiency at the re-refinery during the remainder of the year. This concludes our prepared remarks. I will now turn control the call over to the operator to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Jim Ricchiuti with Needham & Company. Your line is open.
Jim Ricchiuti: Hi, thank you. Good morning. Brian, I wanted to go back to the comments you made about your expectations for margins, operating margins in the oil business for Q4, which are below I guess what you were thinking exiting Q2 in the last call. So I wonder if you could talk a little bit about what some of the contributing factors might be to that?
Brian Recatto: Yes, the largest contributing factor is the fact that we have roughly 15 days scheduled in the quarter to do maintenance work at the re-refinery and the second component of the margin projections are related to base oil pricing. And obviously, with crude oil pricing going up a little bit in the fourth quarter, we don't expect to see much of a change as you heard in our prepared remarks that these motor oil will be relatively flat quarter-over-quarter from a pricing standpoint. But all in all, it's still going to be a good quarter for us in that oil.
Mark DeVita: Yes I mean, it is below, it's not a ton below where we said, but I think Brian covered it.
Jim Ricchiuti: Got it. And then just a follow-up question, if I may - I'm sorry go ahead if I didn't mean to interrupt.
Brian Recatto: No just a production follow-up. We're kind of in the range of 13.5 million to 14 million gallons projected for Q4.
Jim Ricchiuti: Got it, thank you. And just on the follow-up question, just looking at the ES business, it looks like you're encouraged so far with Patriot and congratulations by the way on paying down as much as the debt as, you have. But I'm wondering, how we might think about pricing in the broader ES business? Have you gotten the full benefit of the price increases that you put through at the end of Q2? And what are you considering as you look at the combined ES business from a pricing standpoint?
Mark DeVita: Yes, we're - very happy with the pricing we've achieved in all, but one of the lines of business we have double-digit price increases, part of the story, the overall revenue increase, volume increases is a big part and our wastewater vacuum business, but in parts cleaning containerized waste. The biggest part, they're close to half and half, but the biggest part is actually price. So we believe that we receive that benefit. There are some systems improvements we're going to put in place, which may get us a tiny more. But then it really gets into how we think about price going forward because I think most of what if not all of what we're going to get from those previous increases is already in. And maybe Brian, you can speak to what we're thinking about going forward for the rest of the year for price and as we head into 2023.
Brian Recatto: Yes, given our prepared remark comments about the third-party disposal market, we're certainly in an oversupplied position for the sites that are processing industrial waste and we fully expect to see some additional price increases from our vendors that we're shipping our industrial hazardous waste. So we're certainly going to consider another price increase as we move into the fourth quarter. We haven't decided yet on how broad that will be, but we will have another price increase before the end of the year.
Operator: Your next question is from the line of Kevin Steinke with Barrington Research. Your line is open.
Kevin Steinke: Good morning. When we think about your expectation of kind of a normalization of organic growth in the Environmental Services segment to the high single-digits kind of where it was more historically as you move into 2023. I mean, should we just think about that is less pricing benefits driving that more difficult comps or any other factors you might highlight there?
Brian Recatto: I think from a color standpoint, you had so much pent up demand in industrial waste market that has led to outsized growth for those of us that could execute on picking up waste streams out in the field. So we were able to capture some market share over the course of the last 18 months, which led to our outsized growth. We expect that to continue as we move into Q4 and probably into Q1 until the disposal markets begin to clean themselves up. And obviously, we intend to hang on to those customers because we're going to service the heck out of them. But we do expect growth to moderate back to a more normalized level and then we are forecasting manufacturing to slowdown, with a slowdown in the overall economic conditions. So that's why we're projecting later in the year that we'll begin to see growth moderate.
Mark DeVita: Well and I think you also hit on, obviously, the primary things what Brian mentioned but you're down right about harder comps. We've been thrilled with what we've been doing. But almost 30% organic this past quarter is phenomenal. And we were in the upper 20s last quarter and lower 20s in the quarter before that. So as you get into that second half of next year. It's no cake walk.
Brian Recatto: We are excited about growth opportunities in some of our emerging businesses, I've talked about PFAS we have the battery JV that we think will begin to gain some traction next years as more and more people convert to EV vehicles. So we're pretty excited about our growth prospects as we look out into next year. And we will pull off some additional tuck-ins. We're not going to stop.
Kevin Steinke: Okay, great that's good commentary. Just a couple more if I could here just you mentioned that more downtime I think then planned for the re-refinery in the third quarter. Could you just dig into that a little bit more in terms of the factors that were behind that?
Brian Recatto: Yes, nothing, nothing really major. I mean, we had our normal pegging cycle, we found some thin metal. We did some work on a heater which extended the turnaround by a couple of days. Obviously demand has slowed so as you're making a lot of base oil. You've got to move it out. You've got to - you guys have read about the issues with some of the additives in the base oil market, which slowed down some of our customer orders. So we had to slow down production, a little bit because we don't have very large tank farm system at the re-refinery that's something we're going to look at down the road to add some additional storage capabilities, so nothing major, just a few issues that cost us some production. You've got the railcar issues too.
Mark DeVita: And another challenge that again didn't really impact or we would have called it out more strongly, but in the business, we've been on allocation of hydrogen too. So if we hadn't had some of the other issues. We might have been talking about that.
Brian Recatto: So it's an impact I guess would have right so that's a specter that assuming that gets resolved - we are not going to have that headwind anymore, but when that pops up that's always a challenge.
Mark DeVita: And if you guys remember last year we had record production. I think it was a little bit north of 50. We're still going to be in the 47 million, 48 million gallons for the year. We just refresh off a Board meeting and we're still contemplating expanding our plant, at least the front-end component of our plant. We have additional hydro-treating capacity at the plant. We'll see how the market develops over the next year.
Kevin Steinke: All right great. And then just one last one in terms of the Patriot Environmental acquisition early on here. Can you talk about I guess how quickly you can get that waste to pass that they brought you integrated and starting to benefit you in terms of not having integrated and starting to benefit you in terms of not having to use third-parties as much. I don't know if it's a meaningful chunk there in terms of waste capacity, but maybe just how that help - can help you going forward and also on your efforts to internalize more just organically?
Brian Recatto: Yes, our efforts organically are starting to be very productive and we were on pace right now to process 85,000 containers internally this year. That's our current run rate. We certainly have challenged our people to get that number up. As of, I think I've stated on the last phone call, we want to get into the mid-150s by the end of next year internal containers of the 275,000 containers, we're processing. And obviously, with Patriot, they had two CWTs. We had two CWTs in the western half of the U.S. The Patriot senior leadership team will be running our two sites. We're going to add vacuum truck capacity out in the Western market places to begin to feed those four facilities. We've got the PFAS opportunity out West so not a lot of drums that are going to be shipped into the Patriot fixed facilities. We're going to expand that capacity over the next year, but that's probably more of a 2024 initiative, as we get the permits modified and get ourselves set up post drums into those sites, that's the ultimate game plan. We have 10 active wastewater treatment plants today, quite a few of them were taking containers and our ultimate goal is to get them all taken containers, so we can cut some of our logistics costs as well.
Mark DeVita: And based on our current activity or pre-acquisition activity, Kevin, this wasn't so - this isn't a big piece dollar wise of what, at least, from a cost synergy standpoint, the real opportunity there is really kind of a revenue synergy, because it's a chicken and egg, are we weren't as dense and we didn't have as much business out there, because we didn't have the infrastructure to support it on the wastewater backside. So now that we do, we can go out and get the business and be more competitive and therein lies the benefit from the deal as opposed to all we got all this water already that we're going to internalize in the Western part of the U.S.
Kevin Steinke: Okay. Understood. Thanks for taking the questions.
Brian Recatto: No, thank you.
Operator: Your next question is from the line of Brian Butler with Stifel. Your line is open.
Brian Butler: Good morning, guys. Thank you. Thank you. I guess, let's start on, I just wanted to go back to the used oil piece of the business. And when you think about those margins kind of being more normalized in the fourth quarter in the 20% range. Is that the right place that you guys are trying to manage that business to when you think about your ability to price or to, I guess, push through surcharges on the feedstock or how should we think about that in a more normalized spread environment on what you can and can't manage from a margin perspective there?
Brian Recatto: Yes, Brian, I think we've talked about mid-20s, and so more normalized operating margin. The market is fairly long used motor oil today. I mean, we've had issues, as you may recall years ago making sure we had enough feedstock in the winter months. Right now we don't have that issue. The market is long, we're collecting now almost all the volume we need to feed the re-refinery. So we're confident that the crude oil pricing moderates a bit, so volatile right now that we can drive the price of used motor oil down based on the fact that we're seeing long conditions and used motor oil. So we think we'll get our spread back as we begin to move into next year. You know, off the backs of used motor oil as base oil pricing moderates which it has. I mean, as we talked about in our opening remarks down $0.60 quarter-over-quarter and we think we get a lot of that back from used motor oil. But we're targeting mid-20 range for the business and more normal conditions.
Brian Butler: Okay, that's helpful. And when you look at that single-digit growth on the Environmental Services kind of in a non-recession environment. Maybe you can talk a little bit what kind of sensitivity do you think is there versus the past. I mean, obviously, the business is very different than from 2009, but you guys had a lot of headwind in 2009, when we saw a recession. How should investors think about the sensitivity if we are in a recessionary environment? I mean is this - you can see double digit declines in revenues in the Environmental Services business? Or is this really kind of matured as a business and it's going to be much less than that?
Mark DeVita: You've done your homework because that as I'm sure you know but for the rest of the people on the call. That's roughly what we've experienced from the great recession and if it's aptly named, who knows if the next one. If it's on top of us already are imminent. It's going to be that deep. But I think your question or it's kind of leading to where I want to go which is, this is a different business especially from the Environmental Services side. We're much more diversified, the Patriot acquisition even accentuates that as far as customer base. I mean, generally, we're pretty diversified anyway. But we're even less industry centric now. We have even more exposure to governmental or other entities that are a lot of times less affected because they have their appropriations or whatnot. So, I think that is really the floor scenario barring a really deep, deep recession that we should actually trend a little better than what we did in that even if it's a moderate recession than what we had in 2009 as far as lack of growth for any type of downturn from the ES side of the business.
Brian Butler: Okay, that's helpful. And then one last one if I can sneak it in. Just on the acquisitions in your thoughts going forward. Can you maybe just give a little color on, I guess, what does that environment look like now from availability and kind of a cost perspective, is there attractive opportunities out there? And you become more aggressive if there is a downturn in the market for everything comes down a little bit.
Brian Recatto: Yes. No, I think you're absolutely right, which is why we are certainly of the belief that we'll get another deal done next year. We still have geographic holes relative to field services and industrial services. We like Southeast, we like the Gulf Coast. So we're going to be aggressive in trying to fill those holes. We have a 100,000 customers currently of which they have a lot of project work. So we think it makes sense for us to go down this path of internalizing those activities and growing that piece of our business. We very successfully grown the field services business. All of the work has been subbed out to third parties. We now have the capabilities out West internalize that activity and continue to grow and we're going to do the same in these other marketplaces. It is going to take very difficult to find personnel, so we'll have to do it with tuck-in acquisitions to build the base of the business and then again recruiting off the base.
Brian Butler: Okay. Great. Thank you very much for taking my question.
Brian Recatto: Yes. Thank you.
Operator: Your next question is from the line of Michael Hoffman with Stifel. Your line is open.
Michael Hoffman: Hi, thank you for taking a follow on from Stifel. So the questions I have for you are broader. You had a record quarter. You have a diversity of a business mix, which proves that even when there is pluses and minuses, you can deliver record results. I get your prudence and giving all of those sort of the things that we're telling. Are you actually seeing any weakness? Are you actually experiencing any of that in the context of the customer base?
Brian Recatto: We're not seeing any weakness currently, Michael. It's - we're unbelievably busy to the point where we're struggling to get the work done, driven by the fact that the industry as well as you do, the third-party disposal sites are still struggling to staff up, run seven days a week, plan offsets, as you know, in our industry we've had incineration issues, which is backed up that waste stream, which we're having to leave out the field, which is impacting our revenues. So we haven't seen any of that yet, which is why we're suggesting the fourth quarter and Q1 are going to look really good. We've got to temper our expectations as we look out into the longer-term future expecting that the market will begin to moderate a bit. We're bullish on the next couple of quarters.
Michael Hoffman: And when I think about - I know you don't give guidance, but the Street didn't model in Patriot for the quarter, so it was understated. If I think Patriot, it's $10 million, amongst that 15% margin sort of tack that on, is that the right way to think about it?
Brian Recatto: Yes, not a bad way to look at it. Currently, we're running a little bit more than $10 million a month. We've got a lot of good things working on the Patriot front.
Michael Hoffman: Okay. So I think that for the fourth quarter, add in that factor, where the Street is at $1.36, street numbers would come in a little bit on the base of the original legacy but because of what you're saying in used oil, the environmental solutions would be flat sequentially and therefore, I add in Patriot and I'm up from where we are. And then I'm up in 23 because I get 9 months of Patriot or 8 months of Patriot plus unless you really think there's an economic downturn early, you're going into next year on up numbers once '22 is revised up. Is that the right way to think about it?
Brian Recatto: Yes, that's right. Look, Michael, nobody has given us any credit for this whole PFAS opportunity, I mean, it's becoming and even though the regulations are driving it. Companies are concerned about how they manage wastewater that has PFAS contamination. So we're - I do think we're at the leading edge of it and probably ahead of a lot of our competitors with our total turnkey package, I'm pretty excited about that. We certainly haven't forecast in any meaningful revenue for next year. But we've already got yes, currently managing two landfills today managed their leachate stream and PFAS contaminated with the equipment that we have under a JV agreement, we're damn excited about it, it's working well.
Michael Hoffman: All right. If I can squeeze in one last one in. I mean, my comment about PFAS as I'm not sure the market gives credit until the EPA issues its final rule. So you've got a year and year-and-a-half way for that. But the reality is there and you've got a product and technology. But the bigger message is, you can continue to delever through your own cash, you have unlikelihood that you're going to be up year-over-year in EBITDA. And even if we do have a recession still likely up just on a narrower basis, that's the way the Street should think about where the stock - the fundamentals are.
Brian Recatto: Yes.
Mark DeVita: And if I can add one, again, one of the things, Michael, that Brian said about you're guiding that around 20% and oil for Q4, is that the new normal number, any - and this is not a new part of our cycle, we always have in one quarter, it's almost always Q4 and sometimes it's not usually it is. When you have that extra downtime of that extended plant shutdown, that's not going to be your [technical difficulty]. But it's certainly below the mid-range. So just intuitively when you hear that, that alone, forget all the other factors of that the cost things that were inflationary struggles there on that side of the business or challenges, that's always not - that's going to be below wherever our normal is.
Michael Hoffman: Yes. I got it. You're not taking out fixed cost rate to a 15 day turnaround, you got to carry those plus the lower production. Yes.
Brian Recatto: That's right.
Michael Hoffman: Okay. All right. All right.
Brian Recatto: Thank you, Michael.
Operator: Your next question is from the line of Zane Karimi with D.A. Davidson. Your line is open.
Zane Karimi: Hi, good morning, Brian and Mark.
Brian Recatto: Good morning. How are you?
Zane Karimi: I'm doing well. How are you guys?
Brian Recatto: Okay. Good.
Mark DeVita: Great.
Zane Karimi: Well, first off, congratulations on the closure Patriot, it looks to be a strong business with a solid opportunity to expand that ES base you guys already have, but now that being said, with the integration just starting, how is the process then, can you speak to any operational or core cultural differences? And then just to tack on now that you have it under the brand, where do you see the most incremental opportunity, has anything changed since last time we spoke?
Brian Recatto: Yes. No real operational integration issues, the communication level has been outstanding. We have one person that's running the legacy 16 Patriot locations. We've got tremendous relationship with them. Good operator. The operating team is excited that we have the balance sheet to support their growth opportunities. From a synergy standpoint, we did reduce some headcount. We projected, we would reduce and we've added a bunch of rolling stock, and we'll be adding rolling stock that will help them grow the business. So no cultural negatives so far. We have - we certainly have a lot of work to do on the back office integration, that will take some time to get through but operationally everything is solid and running some of our legacy businesses communication is outstanding so far. And then in terms of growth, I think we touched on it in our prepared remarks. We love the - we're not going to be a hardcore industrial cleaning business but we love the industrial service businesses as it plays out with our 90,000 to 100,000 customers, they have issues that they need help with and now we have labor and people that are very good operationally that can go in and do long-term maturing activities within our generator locations. So that's going to be the focus of growth.
Zane Karimi: And thank you for that. And just shifting gears a little bit just to the ES business as a whole, another strong quarter. It looked like it was driven a lot by field service and the parts cleaning containerized waste dynamic there. So can you spend a moment to explain what tailwind are catalysts on the quarter really drove those results?
Mark DeVita: I just think we're - it's the same thing if you look back the last couple of quarters, really the two biggest pushes in the legacy side. Our containerized waste of course and that was leading the way up until some of the challenges Brian mentioned earlier really started to impact us. And we are literally not in a big way but we're literally turning some people away for now and we have been. But it's still relatively strong. But our wastewater vacuum, we're starting to get our feet under us and some of the acquisitions that we did a little more than a year ago. They - we did struggle early on with some of those. So it's really those two businesses not that parts cleaning. I mean it's been great too. Certainly much better than it was if you go back even a couple of years pre-pandemic. But it's really been those two business and it really gets back to having a culture and rewarding our people from a compensation level that when opportunity knocks, they can take advantage of it. That is the key because we've seen that through macroeconomic issues, industry issues, different approaches by competitors. The phone is ringing more than it ever has for people calling us. We're used to with our commissioned approach knocking on doors and generating all of that potential market share gains by a pro-active approach. But now it's been all augmented by the fact that customers are not just customers, but generally people in the marketplace generators are calling us more than they have in the past, because they can't get the service from their current provider. And when you layer that on to the already strong foundation of that pro-active approach the two combined give you a pretty powerful result, which we've seen in 20-plus percent organic growth. I don't know, Brian, if you see it differently.
Brian Recatto: No. I absolutely agree with that.
Zane Karimi: Okay. Thank you for the color there. And if I may one more. I'd like to revisit how you guys have been working around inflation, and how you're dealing with it, in particular, looking at your ability to pass on prices to customers through a number of price increases through this year. But as you look towards 2023, how are you planning on managing further potential inflation? How do you believe customer acceptance of price increases has changed since the beginning of 2022?
Brian Recatto: Yes. Pricing on average is up 12% to 15% on each of our segments. And we haven't had much pushback. I mean, there our customers are raising prices just like we are. I mean, everybody is experiencing inflationary conditions. We have seen inflation moderate on just general commodities over the past couple of quarters. Not on you know transportation disposal related services. So as we talked about in our prepared remarks. We're certainly going to have to look at another price increase, because we expect to see it from the end disposal companies, fuel cost, operating cost, driver wages, all of that is continuing to be a bit of a struggle, and we're still seeing inflationary conditions there. So we're going to have to raise prices again. We expect commodities to begin to moderate as we move into 2023. So I think we continue to try to performance hard as we can and for our customers to make sure they get their money's worth.
Zane Karimi: Thank you.
Brian Recatto: Thank you.
Operator: There are no further questions at this time. Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.